Operator: Greetings. Welcome Lattice Semiconductor Second Quarter 2023 Earnings Call. At this time, all participants are on a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator instructions]. Please note, this conference is being recorded. I will now turn the conference over to your host Rick Muscha, Senior Director of Investor Relations. You may begin.
Rick Muscha: Thank you, operator, and good afternoon, everyone. With me today are Jim Anderson, Lattice's President and CEO; and Sherri Luther, Lattice's CFO. We will provide a financial and business review of the second quarter of 2023 and the business outlook for the third quarter of 2023. If you have not obtained a copy of our earnings press release, it can be found at our company website in the Investor Relations section at latticesemi.com. I would like to remind everyone that during our conference call today, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We wish to caution you that such statements are predictions based on information that is currently available and then actual results may differ materially. We refer you to the documents that the company files with the SEC, including our 10-Ks, 10-Qs and 8-Ks. These documents contain and identify important risk factors that could cause the actual results to differ materially from those contained in our projections or forward-looking statements. This call includes and constitutes the company's official guidance for the third quarter of 2023. If at any time after this call, we communicate any material changes to this guidance, we intend that such updates will be done using a public forum such as a press release or publicly announced conference call. We will refer primarily to non-GAAP financial measures during this call. By disclosing certain non-GAAP information, management intends to provide investors with additional information to permit further analysis of the company's performance and underlying trends. For historical periods, we provided reconciliations of these non-GAAP financial measures to GAAP financial measures that can be found on the Investor Relations section of our website at latticesemi.com. Let me now turn the call over to Jim Anderson, our CEO.
Jim Anderson: Thank you, Rick, and thank you everyone for joining us on our call today. We've delivered strong results in the first half of 2023, with first half revenue growing 20% year-over-year and non-GAAP net income increasing 29% during the same period. We're pleased with our first half results, but we're even more excited about the path moving forward as we continue to drive the largest product portfolio expansion in the company's history. Let me touch on a few Q2 highlights. We achieved record revenue growth in Q2 with growth of 18% year-over-year. Q2 was also our 13th consecutive quarter of sequential growth. We expanded non-GAAP gross margin by 140 basis points year-over-year to a record 70.5% and non-GAAP net income increased 23% year-over-year. Let me now provide an overview of our business by end market. In the communications and computing market, revenue was down 3% sequentially and down 11% on a year-over-year basis. The sequential decline was primarily due to softer end market demand in communications infrastructure applications, which was partially offset by sequential growth in computing where we saw a strong demand in data center applications such as tubers used for artificial intelligence. Turning now to the industrial and automotive market. Revenue increased 7% sequentially and was up 55% year-over-year. Our strong growth was across multiple applications, such as industrial automation and robotics as well as automotive ADAS and infotainment systems. We continue to deliver robust growth in this segment and we believe our product portfolio is well positioned to drive sustained long-term growth.  I'll now provide some product roadmap highlights. At our Analyst and Investor Day in May, we detailed the broad and rapid expansion of our product portfolio. We're driving the largest portfolio expansion in the company's history, which continues to create new revenue streams for Lattice. We've launched six device families to date based on our Nexus platform, with five of those device families in production and ramping with customers. On our new Lattice Avant to mid range FPGA platform, we launched the first device family at the end of last year and continue to expect to generate revenue from this this family before the end of year, with the revenue ramp continuing into next year and the following years. In addition, we remain on track to further expand the Avant platform offerings with the planned launch of two new Avant device families at our Lattice Developers Conference in Q4.  Turning now to our software portfolio. Software is a key component of our strategy, and it's an important part of how we enable our customers. We've built a portfolio of application specific software solution stacks, which accelerates customer adoption and enables faster time to market for our customers. We recently launched Lattice Drive, which is our sixth software solution stack and is targeted at a variety of automotive electronics applications. We believe customer adoption of our software drives long-term multi-generational stickiness for our solutions. Overall, we continue to be pleased with our execution of portfolio expansion and the customer momentum that it's generating. While we're certainly not immune to any macroeconomic challenges impacting the industry, we believe Lattice continues to be well-positioned for long-term growth and expansion.  I'll now turn the call over to our CFO, Sherri Luther.
Sherri Luther: Thank you, Jim. We are pleased with our financial results in Q2 as we continue to deliver double-digit revenue growth, record gross margin and strong profitability. We generated free cash flow, returned capital to shareholders through our 11th consecutive quarter of share buybacks and subsequent to Q2, have fully paid off our debt. Let me now provide a summary of our results. Second quarter revenue was a record $190.1 million, up 3% sequentially from the first quarter and up 18% year-over-year. Q2 was the 13th consecutive quarter of sequential revenue growth. Both sequential and year-over-year revenue growth in industrial and automotive offset the revenue decline in communications and computing. Our non-GAAP gross margin increased 20 basis points in Q2 compared to the prior quarter a record 70.5% and was up 140 basis points on a year-over-year basis. Both the sequential and year-over-year increases in gross margin continued to be driven by the consistent execution on our gross margin expansion strategy. Non-GAAP operating expenses were $58 million compared to $54 million in the prior quarter and $49.9 million in the year ago quarter. Both R&D and SG&A expenses increased sequentially as we continue to make investments in our product roadmap as well as in demand creation. Our non-GAAP operating margin was 40% in Q2 and was up 190 basis points compared to the year ago quarter. We continue balance operating margin with investments that will drive Lattice's long-term revenue growth. Q2 earnings per diluted share was $0.52 compared to $0.42 in the year ago quarter. This represents 24% year-over-year growth and is faster than our revenue growth. Driving strong cash flow generation continues to be a key focus area for the company. In Q2, we generated a free cash flow margin of 35% and returned capital to our shareholders by repurchasing $10 million in stock or 122,000 shares in the 11th consecutive quarter of our share repurchase program.  During Q2, we also paid down $60 million in debt. Subsequent to Q2, we paid off the remaining $45 million of outstanding debt, and the company is now debt free. We ended the quarter with $104 million in cash.  Let me now review our outlook for the third quarter. Revenue for the third quarter of 2023 is expected to be between $187 million and $197 million. Gross margin is expected to be 70.5%, plus or minus 1% on a non-GAAP basis. Total operating expenses for the third quarter are expected to be between $58 million and $60 million on a non-GAAP basis.  In closing, I am pleased with our financial results and continued execution. Despite the continuing macroeconomic challenges impacting the industry, we remain focused on driving further revenue growth and profit expansion. Operator, we can now open the call for questions.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Srini Pajjuri with Raymond James. Please proceed with your questions.
Srini Pajjuri: Thank you. Thanks for taking my question. Jim, first one for you. Obviously, a very strong quarter with 18% growth, and you're guiding for double-digit growth again next quarter on a year-on-year basis. Some of your peers have talked about potential slowdown in the second half. I'm just curious, as we look through the, I guess, next few quarters, can you talk about where you're seeing continued strength and where you might be somewhat of a macro slowdown in terms of your end markets?
Jim Anderson: Yeah. Thanks for the question, Srini. First of all, really pleased with the results in the first half of this year. If we look at first half, 20% year-over-year growth, pleased with that relative to -- the fact that we've had a couple of years now of really strong growth, plus relative to the overall kind of broader semiconductor industry performance. So, pleased with the first half. And if you look at the midpoint of our guidance, we guided up sequentially for Q3. I think first, if you look at it from a customer or market perspective, if I look at where is -- what's the source of that growth in the first half, vast majority of that growth is coming from new design wins, new revenue streams that have really just begun production and initiated within the last, say, 12 to 24 months. So, we look at that to be really positive and that those revenue streams or fresh revenue streams that are kind of early in their life cycle and ramping. And they're underpinned by multiple different growth vectors, growth in industrial, automation, robotics. The Industrial segment has been a really good performer for us. Growth in automotive electronics, continued content expansion and things like data center servers, networking equipment. And so, those are just a few examples. So, we feel well positioned in terms of the freshness of the revenue and kind of the growth vectors that we're positioned in. But then also, you can look at it from a product perspective, and we're frankly, we're just going through so many new product cycles and drivers. If you look first at just the portfolio we have today, it's the strongest product portfolio we've had in the company's history. I think our customers would say the same. And then we're in middle of the biggest product portfolio expansion in our history, too. So, also from a product perspective, we've got multiple new product cycle drivers. Nexus as an example, Nexus, our newest platform for small FPGA. We're now have five different device families based on Nexus that are in production and ramping. We have six that we've launched that's -- that will go into production next year. More to come on the roadmap. Nexus will continue to ramp, we believe, for multiple years to come. And then Avant, our new mid-range FPGA platform, that's all -- that revenue and that revenue ramp is still ahead of us. So, we feel good from both the market and a product position in terms of our ability to continue to grow over the long-term. Certainly not immune to any end market fluctuations. We would feel that just like everybody else, but we feel well-positioned for growth over the long-term given the Lattice specific growth drivers.
Srini Pajjuri: Great. Thank you for that answer. And then, I guess, as you look at your new products, in particular, the Avant mid-range products, Jim. You talked about some of the new products ramping, which were launched in the last 12 to 18 months. Just curious how Nexus design cycles compare with Avant. Are the Avant cycles a little longer, somewhat similar? And also if you can talk about where you're seeing the most traction in terms of the Avant product, the designs that I think you talked about potentially generating some revenue this year. So, if you can talk about which end markets you expect the revenue from.
Jim Anderson: Yeah. Thanks Srini. First of all, on the design cycles, in terms of the timing of the design from when, say, a design is one to when it reaches production, the Avant design cycles are very similar to Nexus in that standpoint, right? So, we look at the timing of the revenue to be very similar. Now the ASPs of Avant are different. ASPs of Avant are significantly higher than Nexus, about 10 to 20 times higher than if you look at the company's average ASP today. So, significantly better ASPs, but similar cycle times in terms of time to revenue. And then on the second part of your question around just traction of Avant, we're really pleased with continued growth of the Avant design win pipeline. When we launched Avant in the platform at the end of last year, we also launched the first device family in that based on that platform Avant-E. We continue to expect the first revenue for Avant-E to begin before the end of this year. It will be a small amount of revenue this year, but it's an important milestone for us to generate first revenue before the end of this year and then it would continue to ramp into next year and beyond.  And then also remember at our Analyst and Investor Day, we also announced that we would launch two additional device families based on Avant later this year and those will launch, we expect at our developers conference, which is scheduled for Q4 of this year. So, yeah, we feel really good about progress with Avant and certainly stay tuned. We'll share more about next product launches Avant G and X we get closer to those -- that launch date in Q4.
Srini Pajjuri: Thank you. That's all I have.
Operator: Our next question comes from the line of David Williams with Benchmark Company. Please proceed with your question.
David Williams: Hey, good afternoon. Thanks for taking my questions, and congrats on the execution of stability here. I guess my first question, Sherri. Just kind of thinking about the debt payoff and congratulations on being debt free. But I'm curious if this changes your approach to the capital structure going forward. And maybe how we should think about your appetite for leverage down the road.
Sherri Luther: Yeah. Thank you, David, for the question. We are really pleased that sitting here in Q3 that we have zero debt outstanding on our balance sheet. As I noted in my prepared remarks, subsequent to the end of Q2, we did payoff the remaining debt that we had on the balance sheet. And it's really due to the strength of our free cash flow for quarter. We had 35% free cash flow. I'm really pleased with the strength there that we were able to payoff our debt balance.  From a capital allocation perspective, number one priority for us is investing in our long-term product roadmap as well as demand creation and so that continues to be a priority for us. You can see that with the rapid expansion of our product portfolio and the investments that we've been making in those areas, you can see that in our P&L. The other areas that we focus on from a capital allocation perspective is really returning to our shareholders. And you see that in Q2, we executed on our 11th consecutive quarter of share buybacks, where we repurchased $10 million in stock. And so, we're really pleased with that. We do have another $110 million still outstanding on the Board authorization, and that expires at the end of this year, but we'll continue to focus on cash and the free flow and evaluating best use of cash on a quarterly basis.
David Williams: Great. Thanks for the color, Sherri. Maybe, Jim, just -- and you talked a little bit about the automotive/industrial in the last question. But just kind of curious, if you could give maybe a little more color around the Industrial segment specifically. Maybe what you're seeing there. It seems like there's some undercurrents here where some are a thing on industrial/automation is slower in robotics. But it sounds like yours is pretty strong. And maybe just put to take or what you're seeing around the Industrial segment specifically. Thank you.
Jim Anderson: Yeah. Thanks David. Yeah. We continue to see good strength in the industrial and I'll include in there automotive as well, both industrial and automotive. Again, in industrial, it's primarily around industrial automation, robotics, automotive, electronics, that's really around ADAS and infotainment systems. And yeah, we continue to see good healthy demand there. Again, I'll emphasize what I said earlier, which is a lot of those revenue streams that are driving growth for us, vast majority are fresh revenue streams. And if you think about the lifetime of those revenue streams, we're still really in the lifetime of those new design wins, new revenue streams that we've seen ramping. So, we feel good about continued growth in that segment, certainly over the long-term. We continue to view industrial and automotive as one of our key growth areas over the long-term, as we highlighted in Investor and Analyst Day back in May.
David Williams:
Operator: And our next question comes from the line of Matt Ramsay with TD Cowen & Company. Please proceed with your question.
Matthew Ramsay: Thank you very much. Good afternoon, guys. Jim, I wanted to ask a little bit about -- I mean, obviously, the industrial and comms businesses, super strong over the last few quarters. We've been hearing a little bit about lead times potentially coming in. So, if you could maybe level set us on -- particularly in your industrial business, the comms as well, just how you're seeing sort of end customer demand, the channel and lead times in that business, and how you're thinking about trends over the next couple of quarters in that segment, given the massive results you've seen in the last couple of quarters. Thanks.
Jim Anderson: Yeah. Thanks Matt. In terms of lead times, in general, I think you're asking about Lattice lead times, just to clarify. And so, if I talk about Lattice lead times, we're certainly seeing our lead times return to what we would view as normal -- closer to normal lead times, sort of lead times more consistent with pre-pandemic supply chain ahead before that supply chain crunch that we saw. And so, yeah, we just continue to see lead times normalize, which we view as very positive. That's positive for our customers, our distributors as well. And so, yeah, I think about lead times continuing to normalize. In the Industrial segment, as I just mentioned, we continue to see good demand. If I look at our Q3 guidance, we -- if you look at the midpoint of Q3 guidance, we guided up sequentially and we would expect the Industrial and Automotive segment to be up sequentially or flat to sequential growth from Q2 to Q3, consistent with our overall guide. And then, I think you mentioned comms as well communications, now in Q2, we did see some softness in communications infrastructure, specifically in wireline and wireless. We saw some end market softness related to, I think, slower capital spending around 5G buildout, et cetera. So, we saw a little bit of sequential revenue decline from Q1 to Q2 in that Communications and Computing segment, but that was partially offset by -- we saw a pickup in demand for servers, our chips going into servers that go into data centers. So, those are kind of some of the puts and takes that we saw in the Q2 timeframe. So hopefully, that's a little bit of additional color on just kind of what we're seeing by end market.
Matthew Ramsay: Thanks Jim. I appreciate it. As my follow-up, I wanted to ask about we're getting really, really close to when Avant starts to contribute to revenue a bit. And you guys were kind enough to give us a little bit of insight into software attach rates for Nexus and what that might mean for ASPs at your investor meeting. And as you get towards rolling out Avant's revenue and you look over the pipeline over the next, I don't know, 18, 24 months, what are you seeing for Avant software attach rates at this point relative to what you might expect and what you might have expected when you launched the product almost a year ago? And just how is that software attach trending in the pipeline? Any info you have there would be really helpful. Thanks, guys.
Jim Anderson: Yeah. Thanks Matt. I would say the software attach on Avant is very similar to what we're seeing on Nexus and even some of our pre-Nexus products. As we had shared prior, we're seeing the software attach, that's now over 50%, meaning over 50% of the time are -- when a customer selects a piece of silicon, they're using one of our software solution stacks on top or in conjunction with that silicon. And now with the new Lattice Drive solution stack that we just launched, we now have six different solutions stack software customers. And those solutions stacks, just as a reminder, are around making it really easy for customers to adopt Lattice silicon and solutions get to market quickly, speeds up our time to revenue and then also creates multigenerational stickiness. And we've also tried to make sure that customers that adopt to that software -- those software solutions or software on, say, a Nexus device, that they can leverage that same software infrastructure on to Avant devices as well. And so, we're seeing adoption rates on Avant that would be similar to what we see on Nexus. In general, over time, we would expect that adoption rate continue to increase over time, especially as we introduce new solution stacks like Lattice Drive, which we just introduced for the Automotive/Electronics segment.
Operator: [Operator Instructions] Our next question comes from the line of Tristan Gerra with Baird. Please proceed with your question.
Tristan Gerra: Hi. Good afternoon. We've had a couple of companies last week mentioning how some spending in data center was redirected towards AI, and that was at the expense of the more traditional spending. Do you view yourself as a beneficiary of that trend? What will be the reason why the increase of GPU based data center board will actually benefit you as opposed to being on the other side of the scale?
Jim Anderson: Yeah. Thanks Tristan. So, first of all, in Q2, we did see an uptick in products that are used in servers for data centers, either in general purpose servers or servers that are more optimized for artificial intelligence workloads. So that was a nice positive sign that we saw in Q2. But I think in general, when we look at let's say, let's call it, general purpose servers versus servers that are more optimized for AI workloads, usually, we have about the same level of content, if not, in some cases, on the AI optimized servers, we have higher levels of content. So, we view it as a net positive for us. And certainly, over the long-term, we believe that just the tremendous amount of compute cycles that AI will drive into the data center, we view that as a net benefit for the industry and Lattice as well. And then just as a reminder -- and we've talked about this in the past, in -- in fact, we talked about this at the last Investor Day in May, is that on the new generation of servers that's beginning to ramp, we have a significant step up in the dollars of content per server in that new generation. So as that new generation ramps through the second half of this year and into next year, that's certainly a tailwind for us as we enjoy a higher level of dollars of content for each server.
Tristan Gerra: Great. Thanks for the color. And then for my follow-up, we're starting to see companies later this year, launching MCUs with native neural network, AI at the edge type of capabilities. Where should we be looking at in terms of your product pipeline that would be playing on that trend and specifically AI at the edge?
Jim Anderson: Yeah. We feel -- we continue to feel really well-positioned with our product portfolio in terms of being able to support edge computing applications, specifically AI at the edge, which is most often inference at the edge of the network. FPGAs are a naturally good match for those type of workloads because if you look at AI workloads in general, inference workloads in particular, generally, those are parallel algorithms, and they can be mapped really efficiently in some cases, on to, for instance, Lattice FPGAs. You can basically program your Lattice FPGA as a customized AI processor for your particular algorithm. And so, there's a number of different applications where Lattice FPGA can provide really great inference performance, especially on a performance per watt basis. And those algorithms are evolving, right? A lot of our customers are evolving those algorithms on a pretty constant basis. And so, the ability to simply reprogram your FPGA for your updated new inference algorithm is a big benefit. It provides some level of future proofing as your algorithm changes over time. And then, we've also tried to make sure that our customers have good software support from us as well. And so their software solution stacks like senseAI that we've built that are specifically around supporting our customers for designing our products into edge computing, edge, artificial intelligence applications. And senseAI is actually the first software stack that we launched, and we continue to see good adoption of that software stack. So, yeah, we feel really well-positioned to benefit from continued growth in artificial intelligence processing at the edge.
Tristan Gerra: Great. Thank you very much.
Operator: Our next question comes from the line of Christopher Rolland with Susquehanna. Please proceed with your question.
Christopher Rolland: Hey, guys. Thanks for the question and congrats on the results. My first question was going to be around 5G. And Jim, I think you kind of mentioned it, some weakness in the quarter. Nokia, Ericsson were out. Things, look like they're slowing quickly, all our checks kind of say the same thing around 5G infra. I know you guys are exposed there. I guess, first of all, can you update us as to what percent of comms and compute is kind of telco related, 5G related? What might fall into this bucket? And then, if these headwinds last for a while, would we see continued weakness in this area? Would you have negative year-over-year growth here for a while because of this? Perhaps you can just tell us what the impact might be. Thanks.
Jim Anderson: Yeah. Thanks for the question, Chris. So, yeah, as I mentioned in the prepared remarks, if we look at sequentially from Q1 to Q2, we definitely did see softness in the communications -- part of our Communications and Computing segment. For us, communications is both wireline and wireless. So, we did see softness in both 5G wireless infrastructure as well as related wireline infrastructure. And I think that's definitely related to end market softness that other companies are seeing in terms of telco capital spending into infrastructure build out. In terms of the second part of your question, what percentage of comms and compute does that account for? We don't break out comps into a separate sub-segment, but comms as the smaller portion of that segment. Computing has grown to be the majority of that segment over time, especially given some of our growth in content and servers. And so, comms is a smaller portion of that. And in terms of the outlook, we only guide current quarter. But if we look at Q3, the current quarter that we're in, sequentially from Q2 to Q3, we would expect comms and computing overall to be kind of flat to sequentially up.
Christopher Rolland: I see. Okay. So, I guess that means consumer would probably be down for next quarter as well. But I actually have a bigger question around AI. So, in your presentation, you mentioned the GPU card, looks like you do have some content there. You mentioned power control reporting and throttling. Would love to know a little bit more about this also, if you see some additional applications you could be addressing. But really, what is the content here? What is the attach rate? Like in server, it's more than one. What do you think the attach rate here is? And do you think this is going to be a meaningful needle moving opportunity potentially going forward?
Jim Anderson: Yeah. Thanks Chris. We do see -- we do believe AI is a net benefit driver for us in the server data center space over time. As I mentioned earlier, when we look at general purpose servers and then I'll call it, servers that are more optimized for artificial intelligence workloads, we usually see about the same level of content or sometimes higher levels of content in the AI optimized server. Now there's a lot of different configurations, both general purpose as well as servers that are optimized for AI. But in general, what we're seeing is on those servers that are AI optimized equal to or greater than levels of content. And then if we look out over the long-term, yeah, we certainly see additional opportunity in those AI optimized servers in terms of increasing our attach rate, but also increasing the capabilities, functionality that we're bringing to those servers and the ability to continue to grow our dollars of content per server. And I think that actually applies to not just AI optimized servers, but even in general purpose servers, we see continued ability an opportunity to drive higher levels of dollars of content per server. And as we've shared in the past in that new generation of servers, that's ramping. We have a significant step-up in content in that newer generation of servers.
Christopher Rolland: Thanks so much, guys.
Operator: [Operator Instructions] Our next question comes from the line of Ruben Roy with Stifel Nicolaus. Please proceed with your question.
Ruben Roy: Yes. Thank you. Hi, Jim. I wanted to revisit, I think the first question that was asked on Avant around kind of the design activity, et cetera. And the way I'm thinking about it is Lattice is a much different company right now, right, versus when you launched your first Nexus device. I would say, I would think there'd be much more awareness, customer awareness, et cetera. And so can you talk about design activity six months into Avant-E being out there versus how you saw Nexus design activity? Can you compare how those are lining up?
Jim Anderson: Yeah. Absolutely. So, if we look at the same relative point in time, so if you think about Avant launching end of last year and kind of being six, seven months from launch, and if you compare it to the same point in time at -- from the Nexus launch, the design win opportunity for Avant is significantly larger than Nexus. And we're really pleased by that. I think our customers are really pleased by what they're seeing in terms of the Avant products that we're bringing to market. But yeah, we certainly view that as a really positive sign. And we're also really excited to get the first device family Avant-E to start to generate revenue. We expect that to start to generate a little bit of revenue before the end of this year, obviously, more significant contributor next year. And then as I mentioned earlier, also really excited to bring Avant G and X to market and launch that at the developers conference in Q4. So, yeah, I would say, overall, really pleased with the progress with the customers and the continued buildout of the Avant portfolio.
Ruben Roy: Appreciate it, Jim. And a quick follow-up. Just on general pricing environment. So, obviously, Avant's coming out and much higher ASPs. But in terms of sort of the lead time backdrop and maybe backlog out there in distribution, can you talk about pricing environment for Nexus and pre-Nexus products as you see it maybe this quarter and going forward through the end of the year?
Jim Anderson: Yeah. Certainly. I would call the pricing environment for us very stable. We believe our pricing is very durable. We have been doing pricing optimization for -- we're now in our, I guess, our fifth year of doing that. As part of our gross margin expansion strategy, at the beginning of 2009, we kicked off that strategy. Part of that was pricing optimization. And so over the last four, five years, we've built really good internal processes and muscle around pricing our products correctly in the market, making sure that we're pricing for the value that we deliver to the market. And yeah, we believe our pricing is very durable. And then the one thing that's going on over time is as we build out the portfolio as we widen the product portfolio, as we add newer devices that are higher capability, higher capacity, certainly, those new products with higher capability, higher capacity, those come with higher ASPs. And so, we've seen our ASPs increase steadily over time, and we believe that will continue as we continue to bring higher capacity, higher capability devices to market. So, we do expect that ASP to continue to trend up over time.
Ruben Roy: Great. Thanks Jim.
Operator: And we have reached the end of the question-and-answer session. And I'll turn the call back over to CEO, Jim Anderson, for closing remarks.
End of Q&A:
Jim Anderson: All right. Thank you, operator and thanks everybody for being on the call with us today. Certainly pleased with the continued execution and strong results in the first half while we continue to execute on certainly our biggest product portfolio expansion in the company's history and we're excited about the opportunities ahead for Lattice. Operator, that concludes today's call.
Operator: And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.